Operator: Good morning and welcome to the TETRA Technologies, Inc. Third Quarter 2012 Results Conference Call. [Operator Instructions] Please note this event is being recorded.
 And I would now like to turn the conference over to Stuart Brightman, President and CEO. Please go ahead. 
Stuart Brightman: Thank you, Emily. And welcome to the TETRA Technologies third quarter 2012 earnings conference call. Elijio Serrano, our Chief Financial Officer is also in attendance this morning. I will provide a brief presentation of our third quarter operating results after which Elijio will address certain cost reduction measures we have taken and then I will address our consolidated outlook. Following that, we will take any of your questions.
 I must first remind you that this conference call may contain statements that are or may be deemed to be forward-looking statements. These statements are based on certain assumptions and analyses made by TETRA and are based on a number of factors. These statements are subject to a number of risks and uncertainties many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements.
 In addition in the course of the call, we may refer to net debt, revenues, gross profit or profit before tax excluding the Maritech segment, profit before tax of diluted earnings per share excluding oil and gas derivative ineffectiveness in the Maritech segment or other non GAAP financial measures. Please refer to this morning’s press release to our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered with the context of our complete financial results for the period.
 As I stated earlier, I will provide a business overview of the divisions and then turn the call over to Elijio to address a couple of specific areas. Overall in the third quarter of 2012 despite several challenging markets, we were able to increase our revenue even excluding acquisitions compared to 2011. We continue to see trends overall similar to what we experienced in the first half of the year and a very challenging North American market segment we continue to generate strong earnings in our Production Testing segment in our Fluids Division. Although not at the peak levels we reported earlier this year for testing.
 In the third quarter, the benefits we received from our 3 acquisitions in our international expansion offset some of the weakness in the North American markets for Production Testing; despite a slower ramp-up in activity in Canada associated with the Greywolf acquisition, in the aggregate, our earnings to-date from the 3 acquisitions are consistent with our expectations and we remain confident that these results will meet or exceed our expectations on a go forward basis.
 In our domestic markets, we continue to take advantage of strong demand in liquids driven Shale plays and we have been very aggressive in moving equipment and taking cost reductions in those areas impacted by slow demand due to low natural gas prices.
 Compressco had a very strong quarter and we are very pleased with the ongoing growth and profitability in this business. Compressco’s revenue and profitability both improved sequentially, driven primarily by our investment of growth capital in Latin America and other Eastern Hemisphere markets; continued strengths in unconventional liquid applications and our ongoing cost reduction efforts. In all the geographies in which we invested growth capital, those investments have matched up against specific customer opportunities with very strong outlook going forward. Compressco’s strong third quarter performance coupled with this favorable forecast enabled us to increase Compressco partner’s third quarter distribution by $0.01 per outstanding unit.
 We continue to face market challenges in our Offshore Services segment. Results for the third quarter were slightly lower than the prior quarter adjusted for the impact of the Tropical Storm Debby in the second quarter and Hurricane Isaac in the third quarter.
 Activity levels have been negatively impacted by delays in decommissioning permits. Although, we have seen an increase in the number of permits received by our major customers and Maritech over the last 60 days. We are hopeful that this trend will continue and give us positive momentum as we move through the fourth quarter and into 2013.
 Currently, there are 2 major heavy lift barges have backlog and permitted projects to work through the seasonally weak fourth quarter. As of the beginning of November, we've seen favorable weather conditions in the Gulf. As a result, we're confident to keep both barges working through the fourth quarter, which we have not been able to do in recent years.
 We will continue to carefully monitor the performance of Offshore Services segment; while our EBIT margins of 15.4% in the third quarter have shown sequential in year-over-year improvement, we also believe these are very strong compared to others in our industry and with the cost reductions, we feel we are very well positioned as we move into next year.
 At this stage, Elijio will address some of the actions that we have taken to improve profitability for this segment. 
Elijio Serrano: Thank you, Stu. We mentioned during the last conference call that my initial focus will be to work with the management team to improve our cost structure and to address margin opportunities. Given the difficult Offshore Services market segment, we performed a detailed review of Offshore Services segment cost structure, asset base and portfolio and service offerings.
 As a result of those reviews, we have taken the following actions to reduce our cost structure and to align our business model with the current and projected activity levels: Number one, a series of headcount and staff reductions have been completed; resulting in the reduction of 42 positions. These actions were completed this past Friday and were done mainly in staff and support functions. The annualized benefit from these reductions is $2.9 million and this concluded the first step in consolidating and streamlining certain support functions.
 Number two, we are negotiating the sale of our electric wireline business that was part of our Offshore Services segment. Of not significant in revenue, this business line was not generating acceptable margins and returns.
 Number three, we are also looking at rationalizing and scaling back on the number of heavy lift barges with a potential of selling one of the barges. In addition to other equipment that has not been fully utilized this year as we continue to rationalize our asset base. The potential to monetize some of our non-core assets could generate cash proceeds of between $15 million to $20 million and will result in annualized cost savings in excess of $4 million.
 We are targeting these actions for early 2013. These actions are in addition to other supply chain initiatives and cost reduction initiatives that were triggered earlier this year. The annualized savings from these and the previously implemented actions are expected to reduce our cost structure by over $15 million per year, and generate cash proceeds of approximately $20 million.
 The next area that I will work with the management team will be to focus on working capital management. Cash flow from operations during the third quarter, use of cash of $9.4 million including $23.5 million toward Maritech IRO projects.
 Capital expenditures in the third quarter were $24.7 million, and also during the quarter we completed the purchase of Greywolf with cash outlays of $55.8 million.
 Net debt exclusive of our restricted cash was $353 million. During the quarter, we experienced an increase in days sales outstanding. We are focusing our efforts on making a significant improvement in our cash position by addressing the increase in DSO, including process changes to maintain a sustainably lower DSO.
 In addition, we are exploring a sale-leaseback on our corporate office to better deploy our capital. We are targeting by the end of Q1, 2013, to generate in excess of $80 million of cash from the potential sale leaseback on our building, the sale of the previously mentioned offshore assets, and an improvement in DSO. The DSO improvement will lead to the series of process changes that I have successfully implemented elsewhere.
 With that, let me turn it back to Stu. 
Stuart Brightman: Thank you, Elijio. In our August announcement, we revised our 2012 earning guidance to $0.60 to $0.70 per fully diluted share excluding the impact of Maritech. I want to speak briefly about Maritech, as we continue to be very focused in reducing and eliminating our abandonment and decommissioning liabilities. As noted during the quarter, we spent approximately $23 million in these activities and overall we expect to spend close to $90 million for the full year.
 Having said that, we note that during the third quarter we increased our estimate of these liabilities by about $9 million, of which a significant portion was associated with Hurricane Isaac as well as challenges on specific wells. One key event was during the quarter we completed the work on Maritech’s wells associated with down structures which has typically been one of higher risk activities.
 As we look forward, we have a large portion of the remaining liability associated with platform removals and we also have approximately $29 million of the remaining liability associated with non-operated properties. We will continue to analyze our ability to accelerate this work that we control the operated properties during the first through the fourth quarter of this year and through the middle of next year.
 As I noted earlier, the guidance was $0.60 to $0.70. We still feel comfortable with that range based on our third quarter results as well as our outlook for the fourth quarter. As noted previously, the majority of that miss versus our original guidance relates to the challenges of the offshore services segment which Elijio delineated a very aggressive cost posture we are taking in those businesses.
 Overall, the quarter was consistent with our expectations. Across the businesses as we look forward we will continue to invest in opportunities for Compressco. We’ve demonstrated our ability to grow that business both domestically in our historical markets as well as moving into new liquid applications and continued growth in Latin America as well as the eastern hemisphere.
 We expect to see growth in the Gulf of Mexico fluids business. We expect to see growth in our international businesses in fluids and testing and the common themes in all our businesses will continue to remain very focused on cost reduction and cash generation. The actions taken earlier in costs in Compressco, our ongoing efforts in our North American markets to move equipment into areas of higher activity and the reductions in our offshore services segment continue to be examples of that cost leadership. With these actions we believe we've positioned the company to benefit when the markets begin to improve as well as building on our solid performance for the third quarter.
 Emily at this time we open the lines for Q&A. 
Operator: [Operator Instructions] And our first question will come from Stephen Gengaro of Stern Agee. 
Stephen Gengaro: Two things, I guess when we start with this, when I think about your guidance range for the year I'm sure we are looking off of this operating earnings of about $0.43 year-to-date. When we think about the fourth quarter should we think about normal seasonality in offshore. I know you mention the barges look like they’re going to work, hopefully work most of the quarter, how do you sort of bridge the gap or where you are looking forward in the fourth quarters from a positive and negative standpoint by area. 
Stuart Brightman: Well, first of all the starting points as we enter the fourth quarter of the $0.43 is the number we are using, the $0.20 for the third quarter. As we look at the fourth quarter, we will definitely the normal seasonality on our offshore services business. One of the reasons, we were very aggressive on the cost side in our offshore services segment is recognizing there is going to be lower activity. By definition, the next 2 quarters, we were very aggressive in taking those types of cuts. When we look at our backlog, we were encouraged by some of the permits that we’ve received, both for our external customers as well as Maritech’s over the last 60 days through October, which is behind us. And looking out for the balance our third quarter, we're looking on very good utilization on our barges. As always we’ll need to share some weather risks with our customers to kind of facilitate that work taking place. So I’d say, we’ve got some positives, as we go through the quarter of that business, but clearly it's going to be down from the third quarter because of the normal seasonality. Other things that will benefit, we will have a full quarter of Greywolf. We acquired that July 31. We will have the full 3 months. We saw a little bit of slower than expected demand during the third quarter up in Canada. We're seeing that improve. So we will get a double benefit the full quarter as well as increased activity out there. Overall, our legacy businesses in North America continue to perform pretty well. Fluids have held on strong. A lot of it due to some new applications we’ve introduced with the water handling business that we're very pleased with. Testing I think the guys have done a great job moving equipment and people to where the activity is. And as I said on the call, our overall results and our acquisitions have been fairly consistent with what we're expected to-date. Fluids, Gulf of Mexico continues to be strong. We expect that to continue. Internationally we’ve got some projects we’ve got line of sight on that we think we will carry on through the fourth quarter and Compressco, as our guy stated on their call yesterday and we’ve reiterated today had a very, very strong quarter and it cut across all elements domestic, Latin America, eastern hemisphere. So with that as color, that’s kind of the background and backdrop of how we look at the fourth quarter and how we move from year-to-date results into that guidance range revised guidance range. 
Stephen Gengaro: That’s very helpful. And then just as a follow up on the fluid side the equipment repair issue in the quarter; can you just elaborate a little bit on that and the impact it had may be on the quarter. 
Stuart Brightman: Yes, we talked in August in our second quarter call that we had kind of repair of equipment issue that we needed to deal with over in Europe on our calcium chloride business that we thought we would have it fixed contained in the third quarter that the impact would be about $3 million of EBIT during the quarter compared to what we would normally run. And I think on a full year basis that’s about what it will be. We finished work at or above schedule and expect that the full impact for the year of that will be about that number. 
Operator: Our next question comes from Jim Rollyson from Raymond James. 
James Rollyson: Just circling back to the Gulf of Mexico, your offshore services business and the cost measures you are taking there, would you look at the market and how things have turned out this year ex the hurricanes versus what you thought going into the year and you kind of break it down between what’s driving it. How much do you think is permitting related issues versus just customers not spending the level or completing the level of work that you are anticipating and what do you think it takes to get the market up to kind of what you originally hope for? 
Stuart Brightman: When I assess that business this year, clearly the market’s been more challenging, and I think its lot of its driven by some of our customers just not been able to pursue the activity that they had planned earlier in the year, as a result of some of the permitting delays that we have seen. So I think that is a big part of it, we certainly talk to our customers and followed the permitting process and that’s had an impact, and as I said on the call earlier, I do see some positive signs the last 60 days that a lot of those major projects we have seen permitted. A few of them are going to fall into the fourth quarter execution plan both for the third party as well as the Maritech, that gives a little bit more confident as we look to next year. The thing that I really want to make sure, we reiterated and I think Elijio did a great job of talking about it is, we are running that business on the assumption that we can't count on that rebound and we are taking actions to take cost out both on the organizational size as well as really manage the supply chain very aggressively and fortunate that some of the permitting and the demand goes up we will get the benefit of that next year, I think that slight uptick overlaid with the cost actions, would start to get us towards the area we have talked about earlier. But clearly we got the big gap, Jim from what we delivered this year to what we have guided on that business. So there is a big range to make up and we taken a piece of that gap and the cost reduction. 
James Rollyson: Yes, that's really helpful. On the testing business, I think you mentioned earlier, just the slide you have seen somewhat the year-to-date is because of the weak gas market and completions being down. Can you maybe give us some color on how that's playing out more recently just given the rig count still going the wrong direction in that regard but the natural gas prices have obviously recovered some or are you seeing that start to flatten out or how do you think about that domestically? 
Stuart Brightman: Yes. I mean, yes one of the things I don't know that we’ve highlighted especially so I will take your question as the opportunity to do it, we've actually had a very good performance in our domestic testing business this year despite some of the challenges in rig counts and having to move people and equipment around. And if you look at it in domestic testing, it’s held up pretty good. The pricing, the utilization has been strong, the pricing has been a bigger challenge, but I think some of the advantages we have by being a larger player in that both from an equipment people supply chain I think it has allowed us to have those margins. They are off the peak but they are certainly very, very strong margins and I think that's excluding the acquisitions and having done the first acquisition in March and then April and end of July and everything we've seen out in the markets are those acquisitions are in the right geographies with great people that we've acquired and a lot of pull through opportunity. So I think it’s been a tough market but I would say overall I would be remissive if I didn't reiterate that I think our organization is performing very, very well in North America across all segments of fluids, testing and Compressco. And I think with the utilization that we've seen improving in Compressco, I see our manufacturing production requirements starting to look like we will be in that mode a little bit earlier than we may have thought in that business. So again it’s a good leading indicator of some positive things. 
James Rollyson: Great. The $3 million special charge for the quarter, charges where should we back those out of? 
Elijio Serrano: It can be $3 million as we mentioned in the press release, $850,000 related to the acquisitions that we've made this year are in the production testing, business segment. $1.26 million, $1.26 million that mentioned related to severance, half of which is cash, half of which is non-cash equity related, it’s all incorporated and then the rest of it which is about $840,000 is weather impact on our offshore services segment. So that's $3 million. 
Operator: Our next question comes from Mike Harrison of First Analysis. 
Michael Harrison: First question is for Elijio, maybe could you just, the 3 buckets that you mentioned for cost savings in the offshore business, it sounds like you totaled that at $15 plus million per year but can you just walk through each of those pieces again and the timing of the amount to timing? 
Elijio Serrano: So the first group was headcount reductions and the team started making reductions late part of third quarter and completed it last Friday and that is a savings of $2.9 million, those savings are essentially under way as those reductions have been completed. The other one we talked about disposing of our small wireline business that for the business it’s not significant in terms of revenue, the margins were not at the level that we've expected. So that resulted in a benefit of about $0.5 million a year of improved profit. Then we are looking at rationalizing and scaling back on some assets that utilization levels have not been at the range that we targeted and we will be selling those or disposing of some of those assets and those annualized savings are about $4 million to $4.5 million with potential cash proceeds of $15 million to $20 million. Then those are the actions that are recent actions. In addition to those recent actions, we had already triggered a series of other initiatives. A lot of them supply chain led that will be the balance between the $2.9 million from headcount reductions, $0.5 million from the wireline, the $4.5 million from the disposal of assets. The rest of it is coming from supply chain initiatives and other acquisitions that the organization has taken beginning early in Q3. 
Michael Harrison: So that’s like $7 million or $8 million from previous actions that are already, we're already starting the see those savings? 
Elijio Serrano: That is correct. So the sum of all those is the $15 million plus that we believe we’ll be going to benefit from. 
Michael Harrison: Alright great, and then Stuart you mentioned keeping a couple of assets in the offshore business working through Q4, I just want to understand. That sounded like it was a bit unusual, if you could give us some details on what's different about the work that you are doing that make sense to run those? Does it boost your earnings in Q4 and then are you going to continue to run them in Q1 as well? 
Stuart Brightman: Yes, we’ve got very good line of side through the quarter on our 2 primarily heavy lift barges as well as one of our key diving assets and, I think that’s probably a little bit unusual positive in terms of having that. I think some of that has to do with couple of factors Mike, one is I mentioned, we have seen a couple of -- permitting pick up and some of that work. We have talked to customers about how we execute that in the fourth quarter and some of the Maritech permitting that where we have seen that come in. We have made a conscious decision to try to get some of that Maritech work done during the fourth quarter. Recognizing, it’s not the perfect weather time to do it, but overall we think the pluses of working it from an earnings or from a cash point of view make sense and as we go to the first quarter just carry on the same process. We have got a clear understanding of what the organizational impact is if we don’t work those assets. We have got that obviously pull that lever as necessary. So we have got very good understanding of the economics of when to work, not to work on what we consider the weather risks associated with that and as we roll through the quarter and finalize our plans we will make that evaluation if the circumstances are similar to what we are seeing now, we may choose to work that in the first quarter. If it isn’t, then we will back off with appropriate seasonal cost actions. 
Michael Harrison: Alright and then last question I had is on the fluids business particularly on pricing dynamics. Can you talk a little bit about what you are seeing in terms of the competitive environment pricing dynamics onshore, North America, in the Gulf of Mexico and then in may be some international markets? 
Stuart Brightman: Yes, I would say we kind of go across those 3 geographies, the most prices sensitive we have seen this year would be the onshore U.S.. I think the pricing is holding up reasonably well in the Gulf of Mexico and internationally in the key geographies we operate in Latin America and Eastern Hemisphere they’ve held up pretty good. 
Operator: Our next question comes from Kurt Hallead of RBC Capital Markets. 
Kurt Hallead: Stuart. I was wondering if you might be able to give us on some insights on some of the international opportunities that you are looking at in 2013 and whether or not that would be specific to testing your fluids or maybe both? 
Stuart Brightman: Yes, I will tell you what I will give you a little color on all 4 pieces of the business. Testing clearly, we are continuing to expand that the acquisition of Optima’s indication of that, moving into Western Canada with Greywolf is indication of that, our continued investment in Mexico and other parts of Latin America. So we continue to believe that testing has both international footprint expansion as well as product direct expansion. And we have taken on some projects we’ve been able to have a little bit larger scale testing project that fits in with what we are doing. So we got a pretty good growth strategy in that business. Compressco as we highlighted has done really well in Latin America and again I want to emphasize the investment in that business is usually very, very tightly correlated with customer activity. We are not investing on a speculative basis. I think that is something that’s very important to understand when we talk about Compressco whether its domestic investment, liquids penetration international that's the model. I think the team that Ron has, has also done a very nice job of finding growth opportunities in Eastern Hemisphere. We've moved into parts of Europe, we've moved into parts of Asia-Pacific that have been incremental and we will continue to expand that. Fluids, we are still looking at opportunities in Brazil. We've had some recent increases in activities that we are pleased with. Not certain if that's a precursor for bigger things going forward, but that's certainly helping us as we close out this year. We continue to be pleased with some of the existing operations we have in the North Sea and West Africa and our guys have continued to find incremental geographies there. And the offshore service is the one that we are still virtually all of Gulf of Mexico shelf, we continue to look at on a fairly modest low overhead basis. Certain areas that some of our products make sense and again there's some markets where we see evidence that there are some opportunities but we are taking a very pragmatic approach to that. As I've said before, we are not going to be asset heavy, we are not going to be OpEx heavy, we are going to be very specific and where some of our products work. But international is clearly part of our long-term strategy as evidenced by some of the investment we've done this year. 
Operator: Our next question comes from Blake Hutchinson of Howard Weil. 
Blake Hutchinson: Understanding you guys are probably more anxious even than the investment community in terms of finally getting Maritech fully off the books, can we talk a little bit about your thoughts on timeline, you kind of outlined some push/pull here for us where whether if we accelerate a little bit of the retirement in 4Q, I want to do a numbers check here too and see, it seems like there would be about $75 million still left for abandonment and decommissioning in 2013. More non-operated properties, more down structures, how does that impact the timing and what would be your thoughts in terms of timing of officially getting it off the books. 
Stuart Brightman: Yes, so let me cover a few of the comments there. I would say first your assumption that we are more focused and interested in getting that behind us than anybody else is very accurate. I look forward to the day when that's complete and we are very, very focused on getting there as fast as we can in a commercially sensible manner. So I think your assumption of where we end the year, we may be a little bit less than you talked, maybe closer to $70 than mid-70s. Overall we had, if you kind of look at the evolution of that we've got a small number of wells that are left have been challenging that we continue to work through. It’s very important to note that our wells associated with down structures are behind us, we finished that last piece during the quarter and that was always a very challenging part of the mix. The part that we control $60 million plus of the remaining $90 million plus at the end of the third quarter, we are going to try to move a little bit faster through the fourth quarter based on the permitting, and if the circumstances make sense we’ll probably try to continue that approach in the first quarter. And I would like to finish it earlier than later and I would prefer the operated properties to get the work done. Second, finishing the second and third quarter and then trail it to the end of the year next year. I just think it’s very important we get it behind us but in a very managed cost basis. 
Blake Hutchinson: And just thinking about the tail that processed you, is there anything else that needs to be done outside of zeroing out liabilities? Are there still small amounts of properties that need to be sold or anything else or is this the end of the game? 
Stuart Brightman: Yes, the end of the game is we take it pretty close to a 100% when the last liabilities out there; we still got a very, very small interest in a non-operated property, but that number is very, very small and you won’t hear us talking about it, even if we don't monetize it once the liabilities were done. And again I think it’s very significant that we got those last wells, the down structures down during the third quarter. And our Maritech team and our Offshore Services team are very, very focused on getting the work done at the ARO levels. So please don't confuse the $9 million and some of the elements of that with lack of focus on execution, the guys understand what the objective is. 
Blake Hutchinson: Now I hate to belabor the point, but I like to get the update. And then just lastly, in the Fluids business, I guess it would be safe to assume that sequentially both the Gulf and onshore U.S. fluids business were both up, top line at least? 
Stuart Brightman: I would say that’s an accurate statement. 
Blake Hutchinson: Okay, and then, I guess just maybe just talk a little bit about how given activity trends is the underlying demand for the U.S. Fluids business just good enough that we should have a higher conviction in terms of visibility or you kind of just building out the franchise to offset kind of declines in overall activity? 
Stuart Brightman: I think if you look at our Fluids business, again the sequential decline in the third quarter was all driven by the combination of normal seasonality of our European chemicals business overlaid with some of the earnings impact of doing the repairs on the equipment. But at a macro level, I would expect both our onshore and the Gulf for Mexico Fluids business to continue to grow. We are putting a lot of effort into the organization onshore and focusing both on the calcium chloride as well as the water related in offshore, I just think the activity and the rig count and some of the metrics that drive that we continue to be encouraged on. 
Operator: Our next question is from Joe Gibney of Capital One. 
Joseph Gibney: Stu just a question on vessel strategy Offshore, I understand the reductions are more support staff oriented and certainly understand the barge discussions particularly given the heat and traction. But where do we stand on the DSVs, are you going to approach more chartered DSV strategy in your own 4 point boats or maybe potentially up for sale too; I mean just help me a little bit with strategically how you are looking at your fleet now offshore. I understand you are streamlining cost, but it’d be helpful to kind of consider that a little bit? 
Stuart Brightman: Yes, I think a good question, if you look at what we've done in our diving business which in a very challenging market environment at the moment, we've kind of kept our owned assets steady, we have over the last few years added a little bit of saturation capacity, but the 4 points we've held and my sense is we will continue to own those Joe; I think they are a part of a strategy to have a full service diving company. So I think it’s important as we have divers that get trained and go through the process that we continue to have that capability. I think that's a part of what the overall competency of the group is. We have one dive vessel that we've kept very, very busy over the last couple of years; I anticipate that will continue and we continue to look at opportunities that make sense to bring in additional leased assets. So I think it’s kind of what we have we like, we know that there's a move to more state-of-the-art equipment and I think our way to deal with that is while we’ll probably do it on matching demand with short and intermediate leases. 
Joseph Gibney: And then Elijio, just one for you. I understand its early days in planning but just start with moving parts that were flat to down U.S. onshore trends than lifting trends internationally in some other aspects of your business, and is capital spend directionally higher or lower in ’13 now as you take your initial look at it. 
Elijio Serrano: We are in the -- you are correct we are in initial stages of going through our 2013 budgeting process and the focus is given and the target that we've given to our management group is that the investment should be coming from those projects that could have an immediate and significant impact from revenue profitability. But we can see budget process this week and next, that's a key criteria we are going to focus up on. And we will evaluate how much capital by business segment in terms of the ability to quickly impact earnings and top line growth. So I would say that early in the process we expect it to be modestly higher on the production testing side and very controlled, the production testing including Compressco. Everything else would be highly controlled. 
Operator: Our next question comes from Bill Dezellem of Tieton Capital Management. 
William Dezellem: A couple of different questions, first of all relative to the offshore services business versus Q3 of a year ago, your revenues were down about $10 million and yet you held gross margin essentially flat and operating income was only down $1 million or so. And that’s all, sounds like prior to the cost initiatives that you highlighted, that will be on a go forward basis from after the end of the third quarter. So my question is what did you do or what was different in the Q3 of this year that allowed you to hold your profitability so firm in that business with revenues down $10 million? 
Stuart Brightman: I think the primary contributor to that is the fact that we’ve got the Hedron out there that we didn’t a year ago. And if you go back to the third quarter last year, we will go in to the due diligence and getting the Hedron ready to come to the gulf this year. It was fully utilized, held up well, and one of the themes that we reiterated on this call is that even in this really tough market, that we are in the Gulf of Mexico with our offshore services segment, we continue to be very, very pleased with the market reception, utilization and execution capability and fundamental economics of the Hedron. So that’s the main reason Bill. 
Elijio Serrano: And Bill I also would like to add that, while I mentioned some specific actions that were taken on headcount and maybe disposing on some of the assets, the organization had triggered other actions that were part of the $7 million that were supply chain driven and we’ve been seeing the benefit of some of those in the third quarter. While not significant, they were already gaining tractions on some of those initiatives. 
William Dezellem: That is helpful, but it does bring up then a follow-on relative to the Hedron to what degree would you say it was fully profit generating? I intentionally removed the word utilization, but just thinking about it in terms of money, how close was it to fully inflated? 
Stuart Brightman: Very, very close. Overall when you look at the utilization, the pricing assumptions, the cost structure of what we’ve achieved year-to-date and what we anticipate in the fourth quarter. The Hedron is very, very close to what our economics were in that acquisition. 
William Dezellem: And then a completely different question, in the press release there was a reference to new services that you introduced in the Fluids business this year, would you please discuss those? 
Stuart Brightman: We have talked about briefly in the past that as we focus on the water segment, we are introducing new technology in that Fluid segment and what I was alluding to was some initial product introduction on water transfer where we’ve rolled out a few units and had very good success, customer acceptance. And it’s just a very nice process improvement that saves time say for less lead paths that our guys have rolled out and had very good reception today. 
William Dezellem: And how fully penetrated would you say you are with that business relative to your existing customers. Is there lots if runway still remaining or have you pretty much captured your current market and it’s now a matter moving beyond that. 
Stuart Brightman: I would say we have still got some opportunities in existing runway with based on what we have seen to date, so that’s an area we will continue to look at from a capital allocation point of view. 
Operator: Our next question comes from Jason Wangler with Wunderlich Securities. 
Jason Wangler: Just curious as far as obviously you are having a couple of nice acquisition so far this year and rolling them in. Are you still actively looking to expand anywhere specifically either on a segment or even in the region basis and if so just maybe a little color on that? 
Stuart Brightman: Yes, I mean. I see overall, we are real pleased with the 3 acquisitions we have done, we will always continue to look at opportunities to stay abreast. But I would say when our offshore services testing and fluids and those segments in the short-term, we are very, very focused on giving the earnings out of our existing businesses, integrating the acquisitions, being very, very cost focused in some of the markets that are challenging and investing organically in those geographies and services across those that we see opportunities. So whether that's international or whether it’s the water market, whether it’s expanding the breadth of testing, those are the types of organic investments we will continue to make. On the Compressco side, I think we have done a really good job as you look at the results over the last several quarters of investing organically, expanding into new areas and that's something that the team will continue to do. And we will also like we have done on testing and some of other businesses continue to have a macro overview of how we expand that business. We certainly think there is scope to grow the size of that business in various degrees as we go forward. But one message I clearly want to leave the audience with is that we are very, very focused both on the optimization of what we have as well as working through some of the working capital improvements that Elijio referenced in his discussion. 
Operator: [Operator Instructions] and your next question will come from Jonathan Raleigh of Clean Value Partners. 
Jonathan Raleigh: You guys have had success this year with the acquisitions, high return on capital. Your results have held up well despite that the shares are down 35% or so. Looking forward with Maritech rolling off, thinking about free cash flow, if the stock is 5 to 6 a year from now, what type of flexibility, the interest level do you have at defending the stock price? 
Stuart Brightman: Good questions. Clearly when we are out talking with shareholders what we are emphasizing in our discussions is some of the strategic additions we've made that we feel very good about. The acquisitions the Hedron, the accomplishment of the Compressco MLP, the progress that Compressco has made, the divestiture of Maritech, the desire to get that liability extinguished sooner than later, and I certainly think that's something we will all be better off when its behind us and we are not talking about it. As we look at use of cash, clearly, if we felt that our stock was in the future going to be at these levels, we obviously will look at alternatives to buy back the stock or look at that. We certainly all have confidence going forward. We've had a lot of insider buying the last several months both from executives and the directors, so we continue to remain very, very confident in the future but if we are not able to move the stock to the levels we anticipate, then certainly buyback something we need to seriously consider. 
Elijio Serrano: Jonathan, one of the reasons that we will focus on aggressive working capital management and looking at redeploying some of the capital tied up, for example in the building, is to afford this kind of an opportunity so that we can have a discussion with the board if we want to go down that path. 
Operator: [Operator Instructions] And at this time I'm showing no questions. This will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Brightman for any closing remarks. 
Stuart Brightman: Yes, thank you, Emily. Again I thank everybody for their interest and their great questions and Elijio and I will look forward in the New Year of updating the fourth quarter as well as talking about the 2013 outlook. So thank you very much. 
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.